Executives: Dan Ginnetti Frank J. M. Ten Brink - Chief Financial Officer, Chief Administrative Officer, Chief Accounting officer and Executive Vice President of Finance Richard T. Kogler - Chief Operating Officer and Executive Vice President Charles A. Alutto - Chief Executive Officer, President and Director
Analysts: Ryan Daniels - William Blair & Company L.L.C., Research Division Richard Skidmore - Goldman Sachs Group Inc., Research Division Hamzah Mazari - Crédit Suisse AG, Research Division Albert Leo Kaschalk - Wedbush Securities Inc., Research Division Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division Erin E. Wilson - BofA Merrill Lynch, Research Division Gary E. Bisbee - RBC Capital Markets, LLC, Research Division Michael E. Hoffman - Wunderlich Securities Inc., Research Division Isaac Ro - Goldman Sachs Group Inc., Research Division David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division Barbara Noverini - Morningstar Inc., Research Division Sean Dodge - Jefferies LLC, Research Division Jason Rogers James Francescone - Morgan Stanley, Research Division Richard C. Close - Avondale Partners, LLC, Research Division Kevin M. Steinke - Barrington Research Associates, Inc., Research Division
Operator: Good afternoon. My name is Rachel, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Stericycle Fourth Quarter Earnings Call. [Operator Instructions] I will now turn the call over to Dan Ginnetti, VP of Finance. You may begin your conference.
Dan Ginnetti: Thank you, Rachel. Welcome to Stericycle's quarterly conference call. Joining me on today's call will be Frank Ten Brink, CFO; Rich Kogler, COO; and Charlie Alutto, CEO. I will now read the Safe Harbor statement. Statements by Stericycle in this conference call that are not strictly historical are forward-looking. Forward-looking statements involve known and unknown risks and should be viewed with caution. Factors described in the company's Form 10-K, 10-Qs, as well as its other filings with the SEC, could affect the company's actual results and could cause the company's actual results to differ materially from expected results. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after this date that may bear upon forward-looking statements. I will now turn it over to Frank.
Frank J. M. Ten Brink: Thank you. The results for the fourth quarter are as follows: Revenues were $567.9 million, up 12.8% from $503.6 million in the fourth quarter of 2012. And internal growth, excluding returns and recall revenues, was up 7.1%. Domestic revenues were $394.6 million, of which $368.2 million was domestic regulated waste and compliance services. And $26.4 million was recalls and returns. Domestic internal growth, excluding recalls and returns revenues, was up 7.8%, consisting of SQ of 9%, and LQ of 7%. International revenues were $173.3 million. And internal growth, adjusted for unfavorable exchange impact of $5.4 million, was up approximately 6%. Acquisitions contributed $32.4 million to the growth in the quarter. Gross profit was $253.3 million or 44.6% of revenues. Adjusted for litigation settlements, gross profit was 45% of revenues. SG&A expense, including amortization, was $109.9 million or 19.3% of revenues. Net interest expense was $15.3 million. Net income attributable to Stericycle was $78.2 million or $0.90 per share on an as-reported basis, and $0.99 adjusted for acquisition and other non-recurring expenses. Now the balance sheet. Our covenant debt-to-EBITDA ratio was 2.1 at the end of the quarter. The unused portion of the revolver debt at the end of the quarter was approximately $573 million. In the quarter, we repurchased 424,729 shares of common stock on the open market in an amount of $49.2 million, and we have authorization to purchase an additional 2.3 million shares. Our capital spend was $18.8 million, and our DSO was 63 days. Q4 year-to-date as reported cash from operations was $403.5 million. When adjusted for recall reimbursements discussed last call and one-timers, cash from operations was $402.6 million. And I will now turn it over to Rich.
Richard T. Kogler: Thanks, Frank. In the quarter, we closed 8 transactions, 1 domestic and 7 international. The international acquisitions were 3 in the United Kingdom, 2 in Romania, 1 in Canada and 1 in Spain. Revenues from the 8 acquisitions were approximately $0.7 million in Q4 and annualized are approximately $37.4 million. We continue to use our strong free cash flow to drive our growth through acquisitions. Currently, our worldwide acquisition pool remains robust with well over $100 million in annualized revenues in multiple geographies and lines of business. Looking ahead we remain excited about our expanding growth opportunities. Our global acquisition strategy increases and our customer base, providing a long-term growth platform for selling multiple services, such as compliance solutions, StrongPak, Sharps Management and pharma waste. As customers adopt our multiple services, they can more than triple their revenues. At the end of the quarter, we had approximately 566,000 accounts, of which approximately 546,000 were small, the remainder were large. In closing, we want to thank each member of our worldwide team for their strong performance and continued commitment to our customers, our shareholders and our values. We especially want to recognize our U.S. and Canadian team members who battled extraordinarily cold weather conditions over the past few weeks servicing our customers. We thank them for their hard work and their commitment to our customers. And I'll now turn it over to Charlie.
Charles A. Alutto: Thank you, Rich, I would now like to provide insight on our current guidance for 2014. Please keep in mind that these are forward-looking statements and our guidance does not include future acquisitions, divestitures, integration, acquisition-related and other non-recurring expenses. For 2014, we believe analysts' EPS estimates will be in the range of $4.13 to $4.17. We believe the analysts' revenue estimates for 2014 will be in the range of $2.33 billion to $2.36 billion, depending on assumptions for growth and foreign exchange rates. We anticipate 2014 internal growth rates to be: SQ, 8% to 10%; LQ, 5% to 8%; international, 5% to 8%; and recalls and returns of revenues between $100 million to $120 million. We believe analysts will have estimates for 2014 free cash flow between $402 million to $407 million. 2014 CapEx is anticipated to be between $70 million to $75 million. In closing, we are very pleased with our 2013 results and remain excited about our multiple growth opportunities for 2014 and beyond. Thank you for your time today. We'll now answer any questions. Rachel, you can open the Q&A line.
Operator: [Operator Instructions] Your first question is from Ryan Daniels with William Blair & Company.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Let me start with one on StrongPak. We've seen some news lately about more retailers, again, facing fines out in California in early January. I'm curious if that's, one, driving more demand. And #2, are you starting to see more states crack down and that appears to be California-specific at this point?
Charles A. Alutto: Yes. Anytime there's awareness, we think that's good, Ryan. Certainly, California has been on the forefront when it comes to states. There has been other states in the U.S. that are starting to -- and have been focusing on this. I would tell you that as retail expands into new geographies and more into health care, I think, that certainly helps us. Obviously, we can provide a serviceable medical waste, health care waste, and especially hazardous waste. And we have a healthy pipeline of orders from all the awareness and the enforcement of regulations that really have been on the books for many, many years.
Richard Skidmore - Goldman Sachs Group Inc., Research Division: Okay. Helpful. And then, switching gears to Communication Solutions, I know last quarter you talked about leveraging your LQ and SQ team relationships to foster organic growth there. Can you talk a bit about how that's played out and what the reception has been among the current client base?
Charles A. Alutto: Actually, Ryan, I just attended our national sales meeting last week, where we began to cross-train our health care reps. We had both of our health care SQ, LQ reps together with our Communication Solution reps, so it is starting to take shape. We're excited about that cross-sell opportunity. I think, it's something that will gain momentum as the year goes on.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay. Good deal. And then, I guess, just one quick one on all the noise in Utah. There seems to be some debate about maybe moving the incinerator out there. Is that in your capital budget for 2014 or will that be something modestly incremental if you decided to do that?
Frank J. M. Ten Brink: It would be modestly incremental. I mean, we have a legal right to operate in North Salt Lake City and our facility is totally in compliance right now but we're always looking at all options, including relocation. I mean, frankly, the relocation process involves many steps and a lot of decision points and nothing has been finalized, it's very preliminary. The capital involved in it is not large. And more importantly, there'd be no material impact to customers or to the company if we do decide to relocate.
Operator: Your next question is from Hamzah Mazari.
Hamzah Mazari - Crédit Suisse AG, Research Division: Just a question on the international business. Could you maybe talk about which countries you do see SQ opportunity in, similar to the U.K. market? And any regulations, positive or negative, on the horizon we should be aware of?
Charles A. Alutto: Yes. I think, Hamza, on the international side, certainly, we think, in almost every international market, we have an opportunity on the SQ side. When we look at comparing it to the U.S., we look at where are we right now with respect to our clinical service offerings, which for those that don't know, it's very similar to our Steri-Safe offering, bundling certain services, compliance solution services with our regulated waste program. And in some of the markets outside of the U.S., you mentioned the U.K., certainly, that's one of them. Canada, Portugal. Our latest entry where we're spending out a good amount of time of rolling out Clinical Services is in Spain. We're getting some really good results early on. I think, we're on track there. So we'll continue to expand that program in the international markets.
Hamzah Mazari - Crédit Suisse AG, Research Division: Great. And just a follow-up. You're in many more ancillary services than 5, 6, 7 years ago. Could you give us a sense of how many of these ideas are coming from your customers relative to how many are you thinking about internally? And internally, do you have a formalized strategy team developed? How do we think about where you are in that process relative to history?
Charles A. Alutto: I think -- great question. I think, the customer plays an important role, even when we think internally about a service offering, whether it be Steri-Safe, Clinical Services, Pharmaceutical Waste, we have customer advisory councils, not only in the U.S. but in our international markets as well, and we continue to balance ideas off of customer bases, one, to find out if we're on track for the service offering, but more importantly, to find out what the pressure points are for those accounts and what can we do to address those pressure points. So -- and sometimes, it doesn't lead to a new program, but it might lead to an enhancement of an existing program like Steri-Safe.
Operator: Your next question is from Al Kaschalk with Wedbush Securities.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Just to touch on the acquisition front. I'm curious, are all of the transactions medical waste related or any other ancillary services specific?
Frank J. M. Ten Brink: There were 7 in regulated waste and 1 in the Communication Solutions side.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Fair to say that communication was domestic?
Frank J. M. Ten Brink: The communication was in Canada.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Okay. All right. For some that's domestic. I'm curious, on Spain, where was the largest acquisition made? Because this is something, I think, maybe some of us were looking for in terms of the next leg of expanding the platform you established in Spain a couple of years ago. But first, maybe what was the largest acquisition made and then talk about the one in Spain specifically, please?
Frank J. M. Ten Brink: Yes. We don't give details on individual acquisitions or the size by country. But if you really think about Spain over the last couple of quarters and really since we got in, there's pretty much acquisitions done every quarter. Some are smaller, some are larger. Again, our focus has been to expand the Small Quantity Generator size of their customers and that's what they've really focused on and they've done a really good job.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Okay. Can we go to gross margin here for a second? I think, after the onetime litigation, it was 45%. I think, that's a little maybe lighter than you were looking for. Can you talk about the mix there? And specifically, is there 1 service that may be scaling faster that was a little bit of a drag on the overall performance? Still strong at 45%, but maybe a little bit lighter than we were looking for?
Frank J. M. Ten Brink: Yes, good question. So the foreign exchange was about 8 basis points headwind. We had slightly better foreign exchange rate in the European side versus our original guidance. The mix, which really was driven by stronger sales in StrongPak impacted it by about 40 base -- sorry, 24 basis points, unfavorable because the margin there is still lower than the company average. And then, the general business improved by about 13 basis points.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Okay. And then, if I may try to talk a little bit more about Utah. Just on a broader scale, why is it not a bigger concern or should not be a bigger concern if you decide to exit a market with the facility? And again, I'm appreciating the volume and the dollar level that plant contributes, but why is this not -- why should we not be as concerned about it?
Charles A. Alutto: Yes. Al, it's really not a decision of exiting a market. Even if we were to relocate the plant, it's not as if we were getting out of that marketplace. I mean, our contracts are not site-specific to where we treat the waste. We have a contract to collection, the transportation and disposal of that medical waste, and that contract is not site-specific that it has to go to 1 plant or the other. We obviously use our whole network around the collection. Incinerators go down from time to time. We use other incinerators when incinerators are down for maintenance, sometimes they're down for weeks or 1 month at a time. So that's why this is not a site-specific exiting of a market type of discussion.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Okay. And what's the timeframe on maybe resolution in this particular matter?
Richard T. Kogler: As I said, right now, we're in compliance and we're operating legally at the location that we're at. We're looking at other options but there's no specific timeframe because there's many steps involved here. And besides that, we may not move in the relocation kind of direction. So I -- there is no timeframe I could give you here. We're simply looking at all options.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: And the -- but what is the -- sorry about this, but what's the business issue here that's being raised as a flag?
Richard T. Kogler: I think, if we're going to kind of summarize it here, what you really have is you have a situation where some nearby residents object to our incinerator, even though we've been operating there for 24 years and we have a legal right, we're fully compliant. So with that in mind, it makes sense for us to look at other options, including relocation to somewhere else in Utah. But as Charlie said, the underlying issue here is not a big issue for us because we have 7 other incinerators operating throughout the U.S., with plenty of available capacity. We routinely move waste around because all these incinerators shut down throughout the year for maintenance, routine maintenance. And so there's no material impact here to the customers or to the company. It's simply a business issue that we're working through.
Operator: Your next question is from Scott Schneeberger with Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: A couple of housekeeping on the acquisitions on -- I understand there was just 1 U.S., but could you give us a feel for the percentage of the annualized revenue, what is U.S., what's domestic?
Frank J. M. Ten Brink: Most of it was international.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And LQ-SQ mix in the U.S. and the international overall?
Frank J. M. Ten Brink: It's about the same between the 2. SQ was about 30% and large quantity about 70%.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. And then, I guess, RMS was a solid year, not a spectacular year, and the guidance was for a little bit better in '14 and unchanged on this update. Can you just give us a feel for what you're seeing on the macro horizon there? Any regulations or any activities that might slow or speed or just what's impacting that market and how you're thinking about it?
Richard T. Kogler: I mean, I think, we're always encouraged because, in 2013, we managed a record number of events compared to prior year. So a lot of this is awareness and activity in the market, which is being driven by regulations and things like that. We also expanded our services during the year to Canada and Europe. So all of these things sort of gives us more reach. We've always said it's an uneven business. And so our guidance for 2014, the 100 to 120 really says that on the higher end, we are assuming several larger blowout events. And I guess, the lower end says we're sort of steady state, continuing to grow and still at good organic rate.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Fair enough. Also patient communication, I saw the acquisition in Canada, would you say you're still in an acquisitive phase? It feels like about 1 a quarter, but how does that go organically, just an update between the mix of what's driving it and how do you feel about pushing the rollout?
Charles A. Alutto: Yes. I mean, we continue to make acquisitions in that space. And I think, you will continue to see that in the future. Of course, although we don't guide to anything on acquisitions. I think, we're making significant progress on the operational infrastructure, that includes things, Scott, like upgrading our hardware and our backup systems. We continuously improve our telephony and application software. All this allows us to better service our customers. More importantly, it makes us more efficient on the operational side, which will in the end help us to integrate future acquisitions better than we are today.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And one more if I may. Just on the Health Care Act. Could you just remind us on your view on how that will be impactful and anecdotally you're seeing thus far?
Charles A. Alutto: On the Affordable Care Act, really, no change to our view. I mean, there's obviously a lot of noise and press around the number of folks that are accessing health care. In the end, we think that it will certainly increase the volume. We anticipate to see more, in short, more people covered, which will increase volume. Probably a better opportunity on the SQ services and folks now that don't have insurance go to LQ will migrate to SQ. We think that's favorable for us since we have a broad service offering and really good broad service offering in the SQ space. So really, I think, that hasn't changed. So even though we're into 2014 now, our view of the Affordable Care Act has not changed at all, Scott.
Operator: Your next question is from Shlomo Rosenbaum with Stifel.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: I just want to, I guess, just start with a housekeeping question, Frank. Is the free cash flow for the year if $330 million, did I calculate that correctly, like, what, $23 million lower than the range?
Frank J. M. Ten Brink: That is correct. So in the quarter, if you look at the $403.5 million in cash from ops, that's where the shortfall was. So if you adjust that for the recall reimbursement and kind of onetime events, you would come to about $402.6 million, which is about $20 million lower than we have given guidance on. That really is driven by timing differences on our kind of 2 main, 1 accounts payable, and some accrued liabilities and 1 day in the DSO, that's about $15 million to $20 million. So that's where we will recover that, we feel, most of this in 2014. And as a result, we've taken the free cash flow up by $10 million because we think some of that will shift right into the new year.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: So why isn't the guidance for free cash flow like $23 million?
Frank J. M. Ten Brink: $23 million, you mean compared to the $20 million shortfall?
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Yes, it looks like the $23 million shortfall was -- however or whatever you want put in, like why isn't [indiscernible] same amount if it's a timing issue?
Frank J. M. Ten Brink: So we were $20 million short. And we think we're going to recoup at least $10 million, it depends on the DSO, which we're right now started the year, which we're conservative on.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then, Charlie, organic growth was ticked back up again midpoint of the range, 7.1% in regulated medical waste. Is there any real change in the business tempo from quarter to quarter? Are these just like such small vagaries that we're just kind of splitting hairs over here? How should we think of that?
Charles A. Alutto: Yes. I think, as we've said in previous calls, we're going to see growth rate. They're always going to vary quarter-to-quarter. When you think about our latest quarter, domestically, I would just characterize it that all of our growth engines performed really well in the quarter, especially StrongPak. And I think, that's why you saw us come back on the higher end of the range, both the SQ and the LQ growth this quarter. We're always going to fluctuate, we said that on the last several calls now. But certainly, everything performed really, really well.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. Good. And then, Frank, what should we think for the tax rate? The tax rate has been moving down where we continue to see here, I think, at like 34.5%, it's down about 80 basis points. What should we think about for 2014?
Frank J. M. Ten Brink: Yes. The guidance right now, I would say, it's in the mid-35s is a good starting point. And so you're right, we ended the year at 34.5% for the year-to-date.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: So is there -- is it the growth in international that's moving the tax rate down?
Frank J. M. Ten Brink: I think, that is a little bit. Every year, you also have some factors in, mostly in the third quarter, where you saw us to have a lower rate, where you have substantial limitation items that come up, so that can vary between year to year. So we're comfortable right now to kind of start the year with the mid-35s.
Operator: Your next question is from Erin Wilson with Bank of America Merrill Lynch.
Erin E. Wilson - BofA Merrill Lynch, Research Division: Can you speak to some of the ancillary services that you've implemented overseas? Have they gained meaningful traction? And I guess, are there any specific services that you've come across maybe in Spain or in the U.K. that could be transferable to your U.S. customer base?
Charles A. Alutto: Sure, Erin. I think, when you think about ancillary services overseas, we look at our Sharps Management service, that's something that we've now taken out into Canada, U.K. and Ireland market. Ireland has done a really good job. We've gotten some thought leaders in Dublin on the program. Great showcase for us to expand that, not only within Ireland, but a great showcase for other parts in Europe as well. Clinical Services continues, as I mentioned before, Clinical Services is certainly an offering that we've tested the latest market in Spain, getting really good results on expanding our relationship with the SQ customers. Comm Sol is one that -- we talked about our recall and returns business that we acquired in the U.K. in Q2 of 2013 that had a call center element to it. So we've been able to expand some of the call center services that we have in the U.S. Really early stages there, but I think that's something that could have an opportunity in other international markets. And then, your question around are there other things that we can -- that we're finding in certain markets that we can bring back to the U.S. Certainly, in Spain, we found a few SQ companies that kind of bundled instead with a client service offering at a bundling with no symmetry. That's a radiation detection service for those that might be exposed to radiation in providing x-rays. I don't know necessarily if that's one where we could take that and bring it to the U.S. But certainly, it's got a great opportunity in some of our other international markets. And then, we're seeing some of the things that the U.K. recall and returns business did locally in the U.K. that are starting to share some of those ideas. And those ideas could come back to the U.S. So a lot going on ancillary services, we're finding new offerings overseas. Not necessarily mean we have to leverage all of them in the U.S. but they could be applicable in other international markets.
Erin E. Wilson - BofA Merrill Lynch, Research Division: That's great. And I guess, I've seen a few articles out there but do your communications efforts at all address the business aspect of compliance HIPAA-related protocol as it relates to social media and that practice as far as kind of medical practice websites or other types of social media that may be out there? Do you intend to kind of address that area in any way?
Charles A. Alutto: Yes. Certainly, I've done some customer visits, I know social media and HIPAA is a big deal for some of the health care organizations. We actually do on behalf of some large health care companies, we actually do some monitoring of social media sites for them for a variety of reasons and we act as a back office for some of those calls related to that. We do have a HIPAA compliance part of our Communications Solution. And we think that's what differentiates our offering versus a lot of the small competitors in the marketplace that maybe aren't HIPAA-compliant in their communications. And when we talk about HIPAA compliance, we think more around our Steri-Safe offering, where we've added a HIPAA compliance component where we now do training, both live and in person and WebEx training for our employees. So HIPAA is certainly getting a lot of attention and we're trying to meet that not only on the Communications Solutions side, but on our compliance solutions side as well.
Erin E. Wilson - BofA Merrill Lynch, Research Division: And broadly speaking on that front, I mean, just with increased regulations, are you seeing greater traction there, either for Steri-Safe or Communications?
Charles A. Alutto: I think, the service offering, certainly, on Steri-Safe is more robust now because of the HIPAA Compliance Program. And we are starting to slowly see some additional traction on that side of the business. I think, it's too early on the Communications Solutions side to say that we've seen anything material there.
Operator: Your next question is from Gary Bisbee with RBC Capital Markets.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: You've done a really nice job the last 5 or 8 years adding in or layering in additional services. Can you give us some sense just how successful it's been, either what the percentage of revenue is in all of these services relative to just the core medical waste, or any other way to give us a sense how -- maybe how much they're contributing to growth? Just trying to grade the performance and broadening out the base that you've done over the last how many years?
Frank J. M. Ten Brink: Yes. So if you look at the Small Quantity Generator, the 8% to 10% kind of guidance we give, roughly 40% 50% of that growth comes from kind of price and volume in the market. And the remainder is really the additional services. So this is the Compliance, this is Steri-Safe, StrongPak, some Comm Sol, Communications Solutions feed. That gives you kind of a flavor on the SQ side. For the large quantity, the 5% to 8%, 10% to 20% of that is about price and volume. And the remaining, again, is the additional services. So this is the Sharps Management, the Pharmaceutical Waste. Again, StrongPak contributes to that. And right now, it's a little bit of Communication Solutions just starting to feed into that.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: So does that mean there's no more growth in the core medical waste? It's all -- because you just said pricing and then ancillary? Or is there a component that's selling more...
Frank J. M. Ten Brink: So the 10% to 20% and the 40% to 50% includes a component of volume in there. So we are getting obviously some newer customers, and those customers we grow with the additional services.
Charles A. Alutto: And Gary, we've always said that a majority of our SG&A is building that relationship with the existing customers to add on services. So the majority of our time selling isn't to our existing customers.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: Right. Okay. All right. And then, just 1 cleanup one. Would you be willing to give us the split of the $32.4 million by the 3 segments that's the, what, M&A contributed to the revenue growth in the quarter?
Frank J. M. Ten Brink: Say that again? The amount that is...
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: The $32.4 million year-over-year contribution of M&A, can you give us that from U.S. ex returns and recall, U.S. returns and recall and international?
Frank J. M. Ten Brink: Yes. So about $10 million of that was in the United States and the rest was international.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: Okay. Great. And then, just one last question. I know it's not a huge miss, but this is the second year in the last 3 when you've not achieved the 15% long-term EPS growth target. And the initial '14 guidance, while probably conservative, falls a few points below that. Should we question the ability to achieve this target over the long term? Is there anything particular you'd point out? If the M&A pipeline is indeed as big as it sounds like, is there a reason you're not being more active? Any thoughts on the next few years in that long-term growth rate?
Frank J. M. Ten Brink: No. The goal is still the same. Our goal is 15%, and that's what we're shooting for. Sometimes you make it, sometimes maybe no, but that doesn't mean that the goal is going away. And we feel we have a very good and robust pipeline for our -- as Rich said, well north of $100 million in annualized revenues, and that's domestic and international. So we feel very good about our growth opportunities.
Operator: Your next question is from Michael Hoffman with Wunderlich Securities.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Frank, can we come back to the free cash flow issue and the working capital and can you just help me understand what was moving around and why you're confident you'd get it back on the working capital side?
Frank J. M. Ten Brink: Yes. So the cutoff for this year was kind of interesting. We had New Year on a Wednesday. And many of our checks runs are done on the Thursdays. And so much of that cash was already funded right before the year end, as a result, the funding went out for that [indiscernible] to supply all those cash and those check runs. So that's what's impacted it from a timing point of view and we feel clearly that will come right back into this year because you kind of funded something that could have slipped, right, we could have held onto it but we keep our processes going. And so it was really a cutoff and the timing and the same was the case with some accrued liabilities on the payroll for instance, the cutoff was right there on that point. So we'll get that back. That's why we're confident and why we took our free cash flow up.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. And I -- and so I get the movement but back to the original question, a question was asked earlier, you're not assuming you'll get all of it back?
Frank J. M. Ten Brink: No. We were cautious. Kind of on the DSO side, we said there was 2 components to it. The DSO side we kind of are saying, okay, that one, we don't know if we are or are not, we're going to work on that and we'll give more updates on that over the year. Yes, we are going to try to shoot for it but it's early in the year and you know us with guidance, we're not going to write away, everything will come out. So that's really a conservatism, we hope.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Fair enough. And can you share with us, 1 day on a DSO tends to equal what in working capital typically?
Frank J. M. Ten Brink: I think, if you look at it, it's about a $7 million to $8 million.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. All right. Very good on that side. And then, up through the 9 months, you've been splitting out acquisition costs versus integration expense and you bundled them back together in the fourth quarter. What's -- how does the $0.07 break up?
Frank J. M. Ten Brink: I don't have it right in front of me. I can follow up with you. It's really in the same category for us between the 2 as we see it. So from a press release point of view, we brought it out and brought it together.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. I wouldn't mind it broken out just because we...
Frank J. M. Ten Brink: Okay. We'll take that into -- at the next press release, we can do that.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: And the thinking behind it is that acquisitions are period costs and integrations cost of doing business.
Frank J. M. Ten Brink: Yes. Acquisition on a pretax was about $4 million.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. That helps. And then, any of the 3 of you, Charlie or Rich or Frank, within the Small Q 9%, or the LQ 7% domestically, how would you proportion in this quarter how you did on price volume versus the ancillary as a mix of that? How do you think that broke up in this quarter?
Charles A. Alutto: I don't think it's materially different than what Frank answered the other question on and breaking out what is coming from the ancillary services, except that we had a stronger StrongPak in this quarter as compared to last quarter. And that's when Frank gave you the bridge on gross margin, why there was a little pressure on the gross margin side. So a little bit better on StrongPak quarter-to-quarter.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: And if I'm remembering correctly, StrongPak is in the SQ?
Charles A. Alutto: Mostly in the SQ but it also impacts the LQ as well.
Frank J. M. Ten Brink: More SQ than LQ.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Right. So that helps to account for the bump up to the upper end of the range versus where we've been trending?
Charles A. Alutto: Yes. Correct. That is correct.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: All right. And so I wanted just a little bit more detail on that. I mean, typically, if I remember correctly, there is that dip in margin and then the return is pretty much within the next quarter. I mean, you have that set up and expense related to that first round of it and then it settles in. So there's a bump in revenues and then the pace settles, so like I'll have a tougher comp next year because of it?
Frank J. M. Ten Brink: Yes. You get revenue obviously if you get a bump, then in the year later, it becomes part of the base. And from a margin point of view, that's where the team has the opportunity to further improve density to improve those routes and to get more efficient. So obviously, they are having a continuous improvement program in place to continuously get that margin to improve and they've done a nice job there.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: All right. And then, last question. Coming out of the EPA office of resource conservation, they're talking about issuing a notice of federal record around retail. It sounds like they're coming out with much stronger rules and regs. Can you share any insight on that?
Charles A. Alutto: Yes. EPA, the notice of data availability. EPA is soliciting in for how to manage retail haz waste. There has been already delays in that solicitation several times, and one of them is because of the government shutdown. I mean, we view this as potentially could increase awareness in the marketplace, especially among those medium and small retailers. We'll see about the date. Just to remind you, Michael, as you know, the Pharmaceutical Waste, there is supposed to be guidance coming out on Pharmaceutical Waste or universal waste. And I think that's been delayed 3 or 4 years now. So we'll see if they meet this latest time horizon they set for the release of this solicitation. But any -- at the end, we think the awareness will be a positive impact and bring some clarity to retailers in the disposal of hazardous waste.
Operator: Your next question is from Isaac Ro with Goldman Sachs.
Isaac Ro - Goldman Sachs Group Inc., Research Division: I think, there's been a question -- if we move down into pricing a little bit more, you gave some color on your assumptions for pricing that's embedded for 2014 guidance. I was wondering if you could help us with the baseline and give us a sense of how pricing shaped up in 2013. Was it better or worse than what you're guiding to for this year?
Frank J. M. Ten Brink: No. '13 and '14, again, for us, very similar. Our business were stable. And so what I just mentioned as to the contribution from price and volume, we have no different assumptions there.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Got it. That's helpful. And then, just a follow-up on the acquisitions. Maybe give us a little bit of color on what you expect to do in terms of impact of margin this year? In the past, you've obviously been in a near-term drag, given the size and the scale. And so, if we just check your guidance a little bit, it looks like just in spite of the deal flow here, you're expecting a little bit of margin improvement. And I haven't had a chance to take all the numbers but just eyeballing the guidance, it does look like you're assuming margin to improve a bit. So I'm just wondering if you could comment a little bit about how that dovetails with your deals?
Frank J. M. Ten Brink: Yes. So in the first quarter, because we're coming up a quarter off, again, more acquisitions, that the margin probably is going to be a little bit more flat and then coming out for year-to-year. If you look at it in a total, you then are going to see that 20 bps improvement quarter-over-quarter. The team obviously is synergizing deals, that helps, and then the general trend that we've always had, that 10 to 15 bps improvement kicks overall on an average. But definitely, Q1 is normally a little bit, for us, softer. Any improvement in it comes more into Q2, 3 and 4.
Operator: Your next question is from David Manthey with Robert W. Baird.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Could you discuss puts and takes from foreign exchange in your 2014 guidance relative to the updated guidance? And then, if you could give us a share count range you're assuming?
Charles A. Alutto: David, a very good question. Obviously, we're having our revenues and things in Latin America and Canada's exchange rate also has gone a little bit less favorable. It's about a $21 million headwind to us. And so the acquisitions of $37 million that got added have a counter to that of about $21 million as a result of foreign exchange. Again, mostly Latin America, and then Canada are the contributors to that. And the share count that we're assuming for this coming year is $87.3 million.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: $87.3 million?
Charles A. Alutto: Yes.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then, the second on this Utah thing, you said that you're in compliance and up and running and so forth and in compliance with your permits. But I was under the assumption there was some kind of an assertion, I don't know who it was from, that there was some sort of wrongdoing going on there. Is there anything -- are there any pending investigation you can tell us about or anything that's lingering there or is it just there was an assertion and none of it is true, you're operating under your permits and everything is fine?
Richard T. Kogler: The state of Utah issued a single NOV, what we call notice of violation, which was related to a December 2011 emissions test. We are contesting that NOV, and that involves a legal review process, which we're currently engaged in. The process continues and these things take time. There's nothing else to report at this point.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Okay. And is it safe to say that these sorts of things happen frequently to you?
Richard T. Kogler: I wouldn't characterize it is frequently. This is the first time that we've had an NOV in Salt Lake City in 24 years. That's why we're taking it very seriously and we're taking it through the whole process.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: I see. Okay. And then, final question is on incentives. Could you give us an idea of how your people are compensated to sell all of these ancillary services in there? I would assume there's some sort of variable comp or incentive to do so. Could you talk about that?
Charles A. Alutto: Sure, David. I mean, it depends on segments. So when you're dealing with our SQ team, let's say that they're selling Steri-Safe, they are compensated, obviously, it is a base salary, but the variable comp would be in relationship to the upsell opportunity, the selling of the Steri-Safe contract. It gets a little bit more complex when you're dealing with our LQ accounts. We have reps that manage their relationship with a hospital. Their job is to manage that renewal process of all our existing services in that hospital, but at the same time, we want them to introduce new services into hospitals. So their compensation is not only based upon renewals of contracts but rolling that relationship with additional services. In selling those additional services, we have sales solutions executives that know those products. And obviously, they're compensated on getting the sale. So they'd have a base salary and their variable comp would be associated with the new sale, let's say Sharps Management or Pharmaceutical Waste. So it really depends whether you're talking about an SQ or LQ, but there are many different components. But yes, certainly, they're compensated. A big part of their compensation is the additional services to the existing customer base.
Operator: Your next question is from Barbara Noverini with MorningStar.
Barbara Noverini - Morningstar Inc., Research Division: So thinking about StrongPak. I understand that as the newer business margins remain below corporate average, which explains the gross margin drag in the quarter. However, as the business matures, what's your expectation for the margin profile? If it's skewing towards SQ, can this segment achieve similar margins to SQ domestic regulated waste?
Charles A. Alutto: I think, Barb, certainly, the operational efficiencies are on track. We're building that route density, but it's not just route density, it's making sure that we have the capability of our transportation network, where the waste is flowing to, those all add into growing margins. But your question around can we get to SQ margins, I think, it's too early to make that assumption. We certainly will -- we're already higher than our LQ margins. And we'll see if there's additional services that we can add to that StrongPak service more on compliance solutions but it is possible to get it to SQ-like margins. Right now, though, I think, it's too early to say that we'll get -- whether we can get or not get to SQ margins.
Barbara Noverini - Morningstar Inc., Research Division: Sure. That's helpful. Also was there anything atypical about StrongPak's growth in the quarter? Maybe a large project or is it more a function of it just an expanding recurring customer base there?
Charles A. Alutto: So it's expanding. And obviously, they're also signing up some new ones.
Barbara Noverini - Morningstar Inc., Research Division: Okay. And just lastly, when you have a tough winter like we've experienced in the current quarter, what sorts of disruptions do you see in your operations? Is it likely that we're going to see some margin pressure next quarter as a result or was it largely immaterial?
Charles A. Alutto: We didn't have an impact in Q4. Historically, we've managed it. And it's been immaterial. If it's anything, it's a slightly higher cost, it's not really impacting revenues as much but it could be if there's a little bit more overtime for people getting back to the shop, et cetera.
Operator: Your next question is from Sean Dodge with Jefferies.
Sean Dodge - Jefferies LLC, Research Division: Development work on the patient communication platform nears completion, how should we expect that to impact the income statement? Is it going to drive more of an inflection in sales? Are you able to make a more considered push marketing a complete platform to clients or is it going to be more of a benefit to margin because you're able to pull back on some of the development spending or kind of all of the above?
Charles A. Alutto: I think, all of the above. First of all, I think, it will be a continuous process, we're always going to look to upgrade our systems. I mean, obviously, we're starting from ground 0 right now, we're buying a lot of small mom and pops. As I mentioned before, we're making significant progress on the operational infrastructure. We continue as we acquire places to upgrade the hardware and the backup systems. But I think, Sean, we can do that. So what does that mean? It means more reliability and a better service for our customers, that would help us on the retention end, certainly helps us on the growth of the business. And from a margin perspective, when you're providing service where we can do backups, it certainly helps you on the overall gross margin of the business, especially if you're able to integrate future acquisitions in a more timely basis.
Sean Dodge - Jefferies LLC, Research Division: Okay. And then, we covered the buildup of your internal growth guidance for the domestic segment. I'm curious how that looks for the international. So the 5% to 8% you're guiding for international growth in the international business, how much of that is price volume versus the ancillary services?
Frank J. M. Ten Brink: I think, it's probably not much different from the LQ. It's about 10% to 20% on price, maybe a little bit more on volume. A little bit more on the volume side. And then, the rest is again the newer services.
Operator: Your next question is from Jason Rogers with Great Lakes Review.
Jason Rogers: Looking at 2013, would you provide a figure for the recall business for the year?
Charles A. Alutto: No, we don't break it out. I mean, there's [indiscernible] revenue.
Jason Rogers: Yes, revenue.
Charles A. Alutto: Revenue for RMS for the year came in at $97.8 million.
Jason Rogers: All right. And looking at 2013 again full year, would you provide an internal growth figure for the company, as well as domestic and international?
Frank J. M. Ten Brink: The internal growth figure for the year? Yes, so for SQ was north of 8%, LQ was north of 6% for the year. And then, international was almost 7%. And total is 7.3%.
Charles A. Alutto: Excluding RMS.
Frank J. M. Ten Brink: Yes, that excludes RMS.
Jason Rogers: Okay. And then, looking at accounts receivables up year-over-year, was that due mainly to the acquisitions?
Frank J. M. Ten Brink: That was a big contributor there. The acquisitions was about $19.9 million of the increase. You had a little bit of currency translation in it. And then, the DSO itself was a contributor to it also.
Jason Rogers: And then, finally, would you be willing to provide an estimate for interest expense for 2014?
Frank J. M. Ten Brink: I mean, for '14, you're going to be somewhere in probably 53.5 to 54.5.
Operator: Your next question is from David Lewis of Morgan Stanley.
James Francescone - Morgan Stanley, Research Division: This is actually James in for David. First, one follow-up on the situation at North Salt Lake. Between the original admissions test that caused the NOV to be issued and your subsequent response to the regulators following retesting, did you make any process changes or remediation to the facility that is -- did you identify any issues that you then proceeded to fix or was it simply that a new test came up with different results than the first test?
Richard T. Kogler: Well, as I said, we're in the middle of a process here, so I'm probably not comfortable getting into all kinds of details and what have you. I can tell you that we're upgrading that facility like we're upgrading all the other plants because of the new regulations that the federal government has put in place this year.
Charles A. Alutto: We continue -- Jim, we continue with all of our incinerators to do upgrades throughout the year and we've been doing that for several years. And that's not related to North Salt Lake. It's just in general what the new regulations are for the Clean Air Act.
James Francescone - Morgan Stanley, Research Division: All right. Got it. And then, any color on SG&A expectations for the full year? Obviously, 2013 ended up 30 to 40 bps higher than 2012. Should we expect that level of reinvestment into '14 as well?
Frank J. M. Ten Brink: Yes. So we ended the fourth quarter at about 19.35%. The guidance is about 19.3% for the year of '14. It will start out a little bit higher and then sloping down slightly during the quarters and the year.
James Francescone - Morgan Stanley, Research Division: That's helpful. And then, just finally, you mentioned in your prepared remarks that, obviously, there's been some adverse weather in the first quarter. Any implications to the P&L as we look into 1Q '14?
Frank J. M. Ten Brink: No. We had no impact in Q4.
James Francescone - Morgan Stanley, Research Division: On Q1, sorry.
Frank J. M. Ten Brink: Again, we don't -- it's part of our guidance. It's all in there for the year. So it's too early to say. But again, historically, we've managed it, as I said, and it's been immaterial.
Operator: Your next question is from Richard Close with Avondale Partners.
Richard C. Close - Avondale Partners, LLC, Research Division: With respect to the add backs, Frank, can you give us a little bit of help in terms of how we should think about the add backs in 2014?
Frank J. M. Ten Brink: Define for me add backs.
Richard C. Close - Avondale Partners, LLC, Research Division: I mean, the difference when you have GAAP earnings and non-GAAP adjusted, just as we think about adjustments going throughout the year.
Frank J. M. Ten Brink: I think, the 2 main lines that obviously continue always for us is the acquisition expense and the integration expense. And then depending on what is being integrated, for instance, you may have a plant closure. So in Q4, there were some charges for plant closures because of our integration, we didn't need the facility anymore, it gets closed and there's some noncash writeups that may go with that. In a business where you do a lot of integration, that will happen. But that will go happen -- could happen at this point in our plant but it could happen, depending again on acquisitions. But the 2 line that will be consistent will be acquisition expense and integration expense.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. And then, as we're looking at the fourth quarter, just looking at the dollar amounts you have there for acquisition integration, the change in fair value, restructuring, plant closure, et cetera, what tax rate are you applying to those to get back to your $0.07 and $0.03, et cetera?
Frank J. M. Ten Brink: Yes. The overall tax rate is slightly lower. Some things are not tax deductible maybe in those items but it's not far removed, maybe slightly lower as to its tax deductibility but it's not that material.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. And then, just thinking about you had $0.01 on the litigation settlement but you're not showing any dollar amount on the P&L.
Frank J. M. Ten Brink: No, it is part of the -- it is mentioned on the P&L, it was about $2.1 million that was in the line of cost.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. Yes, I see it there. With respect to the Utah. I don't want to ask too many more questions on this because we seem to have focused a lot on it here on the call. But do you have any ability if let's say you do shift volume to other incinerators, if they're far away from, I guess, the existing incinerator, are you able to adjust price accordingly or how does that work?
Richard T. Kogler: As I mentioned before, we routinely do this as a matter of operational course. I mean, it's -- so I think, you've looked at our historical trends, and obviously, our contracts allow us to move waste around and customers are fine with that. It really doesn't have any material impact on the company's financials when we do it because, again, we do it as a matter of course every quarter.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. But let's say I'm a physician or a hospital that's located close to Salt Lake City. All of a sudden, that plant is not open. You're not able to go back and charge them more money when their contract maybe comes up?
Charles A. Alutto: I think, you have to put this in perspective, though, Rich. First of all, a physician's practice would normally have waste that has to be incinerable. Let's remind everybody of what types of waste have to be incinerated. It's those types of -- it's medical waste, it's not limited to this, but it includes pathological waste, trace chemotherapeutic waste and nonhazardous pharmaceutical waste. These are required to be incinerated in some states. So on the example on a physician, that waste really doesn't -- that can't be sent to an alternative treatment facility. Even in the case of a hospital, only a small portion of their waste, less than 10% of their volume has to be incinerated. So right there, when you're looking at what kind of additional cost you have, it's over a small part of the overall waste stream. And then, it really depends on the contract that we have in place with that customer with respect what kind of passthrough opportunities we have.
Operator: Your next question is from Kevin Steinke with Barrington Research.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Just wondering, in the international business, you talked about continuing to roll out Clinical Services. I was wondering if you're making progress or looking at rolling out some of the other ancillary services internationally as well?
Charles A. Alutto: Yes. As I talked about before, we're making really good progress. I think, the progress is on track. Just to reeducate everybody on Clinical Services, which is the Steri-Safe equivalent in the international markets, we're currently in Canada, Ireland, in the U.K. and Portugal. The latest country that we started to pilot and started to have good traction is in Spain. With other additional services, when we look at our Sharps Management service, that is in Canada, Ireland, and we recently rolled out in the U.K. And then, when you look at our recall strategy, obviously, the acquisition in Europe in the second quarter of 2013 gave us an opportunity to start rolling out those recall type services into the European market. We're always looking at adding additional services. There's a lot of work going on in-country. Some of it again, we talked about some services that are country specific. We feel really good. I think, we're on track with the additional services on the international front.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay. And how are price escalators on the contracts in Europe trending?
Frank J. M. Ten Brink: I think, overall, obviously, with some of the very large contracts that we have like the national health systems, there's a little bit more linkage at times with consumer price indexes and the like. But we're very pleased with the '13 growth rate that we've had internationally. It's been the highest now in the past 3 years. So I think, the team is doing a good job.
Operator: And that does bring us to the end of today's Q&A session. I will turn the call back over to our presenters.
Dan Ginnetti: Thanks, Rachel. Well, we appreciate everyone taking time to participate in today's call. On a snowy and cold day in Chicago, I'll leave you with one warm thought. Pitchers and catchers start reporting to spring training tomorrow, which means that spring is not that far away. Stay warm my friends, and have a great night.
Operator: Ladies and gentlemen, this concludes today's conference call. And you may now disconnect.